Operator: Ladies and gentlemen, thank you for standing by, and welcome to the World Fuel Services Third Quarter 2022 Earnings Conference Call. My name is Victor, and I will be coordinating the call this evening. During the presentation, all participants will be in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I’ll now turn the conference over to Mr. Glenn Klevitz, World Fuel’s Vice President, Treasurer and Investor Relations. Mr. Klevitz, you may begin your conference.
Glenn Klevitz: Thank you, Victor. Good evening, everyone, and welcome to the World Fuel Services third quarter 2022 earnings conference call, which will also be presented alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcasts, please visit the World Fuel Services Corporation website and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now, you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I would like to review World Fuel’s safe harbor statement. Certain statements made today, including comments about World Fuel’s expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel’s actual results to materially differ from the forward-looking information. A description of the risk factors that could cause results to materially differ from these projections can be found in World Fuel’s most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World Fuel assumes no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures as defined in Regulation G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel’s press release and can be found on our website. We’ll begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. As with prior conference calls, we ask that members of the media and individual private investors on the line listen in listen-only mode. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you, Glenn. Before I comment about the quarter, I want to thank our global team in every part of our business and in every part of the world for the results they drive every day for our customers, suppliers, partners and shareholders. We’ve managed through COVID followed by supply chain disruptions, and then severe inventory backwardation and still produced exceptional results. And now over the past several weeks, our land team responded to the energy and logistic needs of those impacted by Hurricane Ian, one of the deadliest hurricanes to hit Florida since 1935. Our thoughts go out to our neighbors who have been impacted by this horrible storm. Our team responded once again under difficult circumstances, which speaks volumes about the character of our logistics and supply and operations team as well as our back office team that supported the effort. Thank you for all your service. You executed 1,000s of deliveries in difficult conditions, when it was needed most. Responding to our customer’s immediate and evolving needs remains the hallmark of who we are and what has guided what we do. This drove us to establish our sustainability business well before it became a global imperative. Our lower and zero carbon solutions continue to grow in North and South America, Europe and Asia will become a bigger part of our business over the next several years. Our approach has always been to drive economics and all forms of energy and digital solutions, because that’s what our customers want, ask us for and value. If this is our guide, we will continue to refine our offers organically and through select acquisitions in our core conventional, sustainable and digital business activities, as global energy demand continues to grow and evolve. In the third quarter, our aviation business performed extremely well aided by a very strong transatlantic summer season in Europe, which continues to rebound from the pandemic, as well as continued growth in business aviation demand. I recently launched myWorld Tankering fuel and flight optimization product is the latest evidence of our focus on driving digital engagement with our customers by adding more digital and service solutions to our legacy, energy and logistics offerings, while simultaneously increasing automation and revenue generation within our ecosystem. myWorld Tankering utilizes our unique position to supply chain with experience over millions of flights and many years of data to deliver a breakthrough product that in seconds, helps operators, minimize overall fuel costs and multiple leg flights. This is just one example of the innovation occurring between our business and technology teams. Our marine business once again performed extraordinarily well, managing a volatile high price environment and the associated underwriting risks. It has been quite a run to the container, dry bulk, and tanker markets with strong demand across all segments. While the container sector is softening from historic highs, both tanker and dry bulk are still buoyant, and cruise while dealing with debt and inflation continue to experience strong demand. And finally, in more ways than one, our land business achieved solid performance across the board, which I will now discuss in greater detail, along with this usual fulsome update. Ira?
Ira Birns: Thank you, Mike. Good evening, everyone, and please be prepared for my fulsome update. As Mike discussed, we really produced exceptional results in the third quarter across all of our business segments. Aviation continued its rebound from the pandemic with strong year-over-year growth in international markets, and generally strong seasonality throughout the business. Marine again posted extremely strong results. And lastly, our land segment also delivered solid results on the back of strong results in Flyers combined with year-over-year growth across the broader land platform. Before I review our third quarter results, please note that the following figures exclude the impact of non-operational items highlighted our earnings release. We actually did not have any such costs of this quarter, but we did book an adjustment of approximately $700,000 after tax in this year’s third quarter for restructuring costs which we had previously approved, which have not been utilized. You can find the breakdown of the non-operational items, which were last year’s third quarter, as well as this quarter’s adjustment on our website at the end of today’s webcast presentation. I’ll get into the details in a moment, but first, I would again like to summarize a few more key financial highlights. A 30% year-over-year increase in average fuel prices and a 10% increase in overall volume drove consolidated revenue to $15.7 billion in the third quarter, up 88% year-over-year, bringing our year-to-date revenue through the third quarter to $45 billion. Volume again grew year-over-year across all 3 of our business segments with international commercial aviation passenger volumes in particular, continuing to rebound and land segment volumes again benefiting from the additional ratable volume associated with Flyers Energy. Adjusted third quarter net income and earnings per share were $42 million and $0.67 per share, respectively. This represents our highest level of quarterly earnings per share in more than 2 years. And lastly, adjusted EBITDA for the third quarter was $123 million. That’s an increase of $59 million, or 92% compared to the third quarter of 2021. And now the broader details. Third quarter volume in our aviation segment was 1.8 billion gallons, that’s an increase of 11% year-over-year. The year-over-year volume increase resulted principally from the ongoing recovery in commercial passenger activity, again, particularly in international markets, which have been lagging the recovery in North America. Overall, we are back to approximately 82% of pre-pandemic volumes globally, up from approximately 69% at the end of last year. Volume in our marine segments for the third quarter was 4.8 million metric tons that’s up slightly year-over-year. Dry bulk and tanker markets remain strong during the third quarter partially offset by pressure into container markets as inflationary headwinds opposed challenges for this particular sector. Our land segment volume was 1.5 billion gallons or gallon equivalents during the third quarter, that’s an increase of 17% compared to the third quarter of last year. The year-over-year volume increase was principally driven by volume associated with the Flyers transaction, which continues to deliver solid performance, as well as increased activity in World Connect’s natural gas and power activities. Consolidated gross profit for the third quarter was $322 million, that’s an increase of 63% year-over-year. Our aviation segment performed extremely well during its seasonally strongest quarter. Generating gross profit of $130 million, that’s an increase of 15% year-over-year, and a very significant rebound from the second quarter. As mentioned on last quarter’s call, our team did an outstanding job renegotiating fuel contracts during the second quarter, this minimize the impact of backwardation in the third quarter, and significantly reduce such risks going forward, driving greater readability in our aviation results. As we begin the final stretch of 2022, the fourth quarter will experience as traditional seasonal decline from the strong summer season in the third quarter. Notwithstanding this normal seasonal decline, full year volume should still be up approximately 20% year-over-year, and considering the significant impact of backwardation in the second quarter, reasonably strong operating results for the full year as well. Next, the marine segment continue to perform tremendously well in the third quarter, benefiting from high bunker fuel prices, continued fuel price volatility, as well as the impact of inflation and interest rates, which tend to constrain broader credit availability in the market. This resulted in quarterly gross profit of $75 million. That’s nearly 3.5 times the amount of gross profit generated in the prior year. The marine team continues to do an outstanding job optimizing the volatile and credit constrained marketplace, while continuing to manage working capital and related risks with excellence. As we look ahead to the fourth quarter, with bunker fuel prices down approximately 30% for average prices during the second and third quarters. The fourth quarter is currently not expected to be quite as strong as the third quarter. However, we expect marine’s fourth quarter results to again significantly exceed the prior year. And lastly, our land segment delivered gross profit of $118 million in the third quarter, that’s up 88% year-over-year, principally as a result of the Flyers acquisition, as well as improved year-over-year results across the land platform, including World Connect. As we look ahead to the fourth quarter with Flyers seasonal strength in the third quarter now being part of the equation. While we expect fourth quarter operating results to experience a seasonal uptick in the UK, overall land operating results are only expected to increase modestly from the third quarter. However, year-over-year results will obviously remain significantly higher, principally related to Flyers. Core operating expenses were $221 million in the third quarter. This represents a significant year-over-year increase principally related to increase cash and equity based incentive compensation related in part to the record level of quarterly gross profit delivered in the third quarter compared to the third quarter of 2021, when variable compensation was down significantly driven by the ongoing impacts of the pandemic last year. And the year-over-year variance was also impacted by the operating expenses associated with Flyers Energy that obviously were not in our numbers in 2021. Despite the operating expense increase, considering the very strong gross profit contribution this year, our operating margin as a percentage of gross profit actually increased significantly both sequentially, and year-over-year in the third quarter, to the highest level we have seen since the pandemic began. Looking ahead to the fourth quarter, with the expected decline in gross profit related to seasonality and lower fuel prices. We expect core operating expenses to fall back to the range more consistent with the second quarter of this year, somewhere between $198 million and $204 million. However, our quarterly operating margin should remain well ahead of the prior year once again. Bad debt expense in the third quarter was $1.4 million. Our credit and collections teams continue to manage our accounts receivable portfolio remarkably well during a period of continued economic uncertainty. Adjusted EBITDA, as I mentioned earlier, was a record $123 million in the third quarter, representing an increase of 92% year-over-year. Trailing 12-month adjusted EBITDA is now $329 million, that’s up nearly 50% year-over-year, benefiting principally from the addition of Flyers and a significant increase in profitability in our marine segment in 2022. Our interest expense increased to $34 million in the third quarter, principally related to the sharp rise in interest rates, with short-term borrowing rates increased by approximately 1.5% during the third quarter. With a further rate hike expected next week, we expect our fourth quarter interest expense to be somewhat higher than the third quarter, despite continued efforts to optimize working capital and borrowing levels and look for as many ways as possible to reduce our interest expense going forward. Our effective tax rate for the third quarter was 3.2% flat with prior year’s third quarter and flat with our expectations for the fourth quarter. Our effective tax rate for the full year is now expected to be somewhere between 21% and 23%, which is down from 26% in 2021. We generated $259 million of operating cash flow in the third quarter, driven principally by lower fuel prices, which declined approximately 15% from the second quarter, and record adjusted EBITDA generated during the quarter. This contributed to a reduction in our net debt position to just under $430 million, further strengthening our balance sheet and liquidity profile. Simply put, we delivered phenomenal results across the business in the third quarter. Despite the macroeconomic challenges that prevailed. Aviation continues to rebound from the pandemic, and it’s recovered nicely from the backwardation impact in the second quarter. Marine delivered another solid quarter – very solid quarter, and land performed well across the business. On the back of record gross profit and solid cash flow, our operating margin was strong, and our quarterly return on invested capital exceeded 10% for the first time since 2019. While we’ve experienced a sequential seasonal decline in the fourth quarter from a record gross profit performance in the third quarter, our full year results will reflect the significant recovery for 2021. Our team worked very hard through unprecedented circumstances during 2020 and 2021, to ensure we were well prepared to execute for our customers and suppliers who depend on us as markets recovered, and 2022 is a testament to such efforts. Also, our balance sheet and liquidity profile has further strengthened, providing us with significant liquidity to support organic growth and fund the acquisition opportunities. In our core fuels business where many higher margin, higher return opportunities still remain, as well as invest in World Connect, and are growing suite of products and services that support our customers and their energy transition journeys. Thank you very much. I’d like to now turn the call back to our operator, Victor, for Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Ken Hoexter from Bank of America. Your line is open.
Ken Hoexter: Sorry. Hey, it’s Ken Hoexter, I think the operator went blank there. But I think [he called me Hoexter from Bank of America] [ph].
Michael Kasbar: Yeah. Hey, Ken.
Ken Hoexter: Hey, good afternoon, Mike and Ira. So you talked a bit about the fuel price decline and what impact that’s going to have on results maybe talk about economic activity as well, right? How should we start thinking about this? Have you already started to see it on each of the segments maybe just run through marine, aviation, land in terms of the impact you’ve seen in historic downturns?
Ira Birns: Well, as we said in the past, you have a lot of contract business in aviation that’s generally full year in duration. Obviously, we renegotiated some of that related to backwardation in Q2. We have some even longer-term contracts in parts of land. The marine business is the one, where you see the most movement as fuel prices move significantly upward and downward, right? We saw a significant increase in margins as prices marched up. And while it may not happen overnight, as prices decline, you clearly would expect that those margins would come back down to more normalized levels. So – and effectively, we’re already seeing a bit of that in the tail end of Q3 into early Q4, as I mentioned in my prepared remarks. Marine’s average fuel prices were down probably 30% from where they were in Q2 and Q3 on average. So that’s where, say, we would see it the most. And, of course, the jury’s out on the aviation side in terms of what the economy, it may be moving towards from recessionary standpoint, what that can mean for air travel, what we’ve seen so far as air travel has remained, not only very strong, I’m not sure last time, you travel to Canada, yeah, plane tickets are still really expensive. So they’re not begging people to show up and take seats. And we’re seeing a lot of strength. We saw unbelievable strength in the European markets over the summer. We’ll see very soon whether we’re going to have another really strong holiday season in Europe, as we did last year and, of course, the U.S. as well. And in the land business to finish off, the segments in relation to your question, we’re seeing nothing in particular, that would say the needle is moving in the wrong direction, the business remains sound, we’ve seen year-over-year growth. The Flyers business continues to chug along really well. Our retail business where, as you know, delivering fuel to 2,000 plus fuel stores around the country is doing pretty well. So, overall, the biggest move of notes really relates to the marine margin. The other thing to note is, as prices do come down that that obviously reduces our working capital requirements. And that working capital costs more in today – the highest rates, we’ve seen a very long time. So if prices come down, we may give something up on margin. But, hopefully, we’ll be able to reduce interest expense as well. Not necessarily dollar for dollar, but there is a bit of a correlation there.
Ken Hoexter: Okay. I don’t know if it’s – Ira, I guess, my follow up just it looks like you had a big step down in accounts receivable is that – I know your bad debt expense phenomenally low at just over $1 million. But is that shrinking the payment terms in terms of a shifting economy to bring down the terms that maybe you could talk about those have changed at all, as we did maybe get into a slower economy?
Ira Birns: No, it’s not that really kind of, if you remember, what I said earlier, prices are down, let’s say, around 15%, 16% as compared to the second quarter, we were at about $4 billion in Q2, you take 15% off of that. You’re not that far from where we wind up the end of the third quarter. We did a little better. We brought our trade cycle down a little bit this quarter. Of course, we always try to manage our working capital as efficiently as possible. But when your interest rate increases by 10, 20 basis points every week, you’re focusing on that even more, so the team did a great job. On the collection side, on the payable side, and on the inventory side to make sure that our working capital as low as it could be, because it’s obviously costing us a lot more money than it did a year ago from an interest expense standpoint. Our net working capital, the way I defined it, dropped about $260 million quarter-over-quarter. So work hard to keep that number as low as possible, and thereby keep our debt lower and our interest expense as low as possible. If you have any more questions, you can feel free to ask another one.
Ken Hoexter: No. That’s my two. I just wanted to clarify. You said that the operating expenses went from $221 million. What was your number? I didn’t catch the number for the fourth quarter.
Ira Birns: $198 million to $204 million, it should come back down in Q4.
Ken Hoexter: Yeah, I just want to clarify that. Thanks, Ira. Thanks, Mike. I appreciate the time.
Michael Kasbar: Victor?
Operator: [Operator Instructions] Mr. Kasbar, there are no further questions at this time. I will now turn the call back to you for closing remarks.
Michael Kasbar: I think we may have, Ben.
Ira Birns: Yeah. We have one person trying to dial in, and he just was interpreting the instructions. I believe he’s – let’s give him another minute. Ben Nolan from Stifel.
Operator: Yeah. Not a problem.
Michael Kasbar: So, yeah, we’re very excited to tell you about our myWorld Tankering fuel and then flight optimization app. So that helps pilots with their flight plans and fuel optimization, whether airport look up, we used to carry big flight bag, and now they’ve got an iPad for convenient, they can look up 6 airports in 6 seconds and figure out their optimization, it’s part of our family of myWorld applications, so pretty excited about that. And it’s just sort of a continuing delivery of more products into the marketplace. So we’ll continue to report out to you on those, as they materialize and as more in the pipeline. So that’s a big part, as I made in my comments, of continuing to provide more value, make it easier for our customers and our suppliers to transact business and figure out how to manage their operations.
Ira Birns: Victor, do we have Ben in the queue?
Operator: Still no sign of Ben.
Michael Kasbar: Okay. All right. I think, he’s on his way.
Ira Birns: He’s on his way.
Michael Kasbar: So, I know, that’s the news. There’s been a lot of talk about the shortage of diesel, particularly on the East Coast. And one of the things that is benefit, and I think that was manifested or exhibited within our ability to respond to some of the shortages and some of the spikes in demand in terms of moving product around the country, having our own distribution assets and strong network of partners enables us to respond to those types of surges with diverse capacity.
Operator: We have one person in queue.
Ira Birns: We’ve got them in.
Operator: It’s not Ben. But we do have one person in the queue to ask question. [Leering Nikita] [ph] from Bloomberg. Your line is open.
Benjamin Nolan: Yeah. No, it’s me. You got me. Can you hear me? This is Ben.
Ira Birns: Yeah.
Michael Kasbar: Hi, Ben.
Benjamin Nolan: Yeah. These having to dial-in remotely things don’t sync well with my calendar. So the nature of the beast [ph] these days, I guess – I do have a few questions and appreciate you kind of hanging out and chit chatting and figured it out. The first one is it relates to, obviously, the gross numbers are fantastic. But, Ira, you talked a little bit about the interest expense. The taxes were quite a bit higher than were last quarter just trying to get it and I know you mentioned the tax rate should be similar for the fourth quarter. But, first on tax. What was sort of the corporate for the higher rate relative to what we had seen in the first half of the year? And how do you see that playing out next year? And then on the interest expense, obviously, interest rates are rising. But is there anything that you can do other than, I guess, just paying down debt to help mitigate that at all maybe a little bit less factoring? Or anything that can help that interest expense line a little bit?
Ira Birns: Yeah. Well, probably the tax is first then we get the interest. So on the tax side, a couple of things come to mind, which weren’t necessarily in our mindset in the earlier parts of the year, of course, in the second quarter. We had the impact of backwardation, we knew that in Q2, but we had some offsets to that. And now you have the significant increase in interest expense. Both of those items are in the U.S., right, so both of those items affect our domestic income. And the marine phenomenal performance is principally offshore. So you had a pretty significant shift in the distribution of earnings for 2022 compared to where we would have plans and forecasts beginning of the year. And that clearly just because of the way, the wonderful tax code works. It has an impact on our tax rate. If you look out to next year, by the way, even though we’re 30% this quarter, we’re probably in the same ballpark in Q4, our rates for the year will still only be 20% to 23%, which is still much better than – few 100 basis points better than where we were last year. I would say we look to next year, we don’t expect to have a massive backwardation impact. The interest piece is a question. So that dovetails into your next question, but we hope that the rate will be a few 100 basis points lower than what we’re coming out in the second half of the year, next year, so call it, 26%, 27%, 28%. So it’s going to interest which affects that analysis that I just described. Yes, we’re obviously like any other company that has debt on their balance sheet and relies on short-term funding, whether it be the receivables program or bank lines, everyone is facing similar issues and trying to find ways to mitigate the rising cost of interest. And, Glenn, who obviously introduced the call, but he’s also our Treasurer and his team worked closely together with myself and many other people to identify all areas of our capital structure, or anything related to that have opportunities to have a positive impact on the interest line. Could be getting more interest for the money that we do have on hand around the world to be reducing factoring a bit could be the strategic use of letters of credit to reduce some cash going out the door. There’s lots of things that we’re focused on day to day, and literally dozens of areas that we’re focused on. But again, every win in that department winds up getting offset by another 75 basis point movement by the fed. But, getting worked really hard in Q3, generated over $250 million of operating cash flow, how do we not done that our interest expense would have been even higher, I don’t anticipate that we’ll generate nearly that much cash in the fourth quarter. But, again, we are focused on a bunch of initiatives to keep a level of interest expense in the same neighborhood and try to start bringing it down next year, depending upon what’s happening with the economy and what direction that fed may continue to take or not in 2023. So something we’re very focused on. The good news is, there’s a pretty reasonably tight correlation between the tremendous success we had in marine, and the fact that, we’re experiencing higher interest costs. And the net of those two still produce the really nice result for us this quarter, but we don’t necessarily want to be spending $34 million in interest every quarter. So we’ll do everything we can to manage that numbers as best possible.
Benjamin Nolan: Great. And given sort of where interest costs are all in with short-term, long-term receivables, et cetera. From your perspective right now is sort of the highest and best use of the cash flow that you’re generating to sort of keep it in the business, keep from having to borrow in order to fund the business. I mean, is that how you’re thinking about what to do with the cash flow that you’re generating in the line?
Ira Birns: Look, across the business, it’s a daily education process, because there’s a lot of people that are out there working really hard are trying to generate revenue for us that probably having spent a lot of time in their career in high-single-digit interest rate environment, right? So we’re trying to make sure all the business we’re doing makes sense, and we’re getting rewarded at the level, we think we should be in an interest environment like this. So, we’ll obviously keep investing in the business, where it makes sense where we believe we could get returns well above that short-term cost of capital. There are – I think, you were hinting at this, so I’ll answer part two. Yeah, there are still a lot of strategic opportunities for us that currently have a higher cost of capital associated with them that we did last year. So it’s a little more difficult to find the right answers there and get the return that we’re comfortable with. But there will be opportunities, despite the interest rate environment that we’re in to supplement our organic growth over the next 12 to 18 months with additional strategic investments.
Benjamin Nolan: Right. That’s helpful.
Michael Kasbar: The other part of that too is, is services and businesses that don’t have large working capital requirements. And we’ve developed some of those ourselves. We’ve acquired some, so that’s very much a part of the mix within our traditional legacy commodity business. So decommoditizing the commodity and basically wrapping a lot of services that customers are asking for and we’re providing, and just – very salutary to the overall offerings of the company.
Benjamin Nolan: Right. That’s helpful. I appreciate it. And then lastly, just bigger picture, and, again, appreciating that it’s a little probably early to look too far out into 2023, but to the extent that you can and is there anything that outside maybe of a really challenging macroeconomic environment? Is there anything that you guys are seeing that should cause you to think that there might be any change in the momentum that we’re seeing at the moment? Obviously, energy prices are going to move around a little bit, and you’re going to have seasonal shifts or whatever? But from a broad perspective, do you feel like the momentum that you have at the moment can be sustained over the course of next year?
Ira Birns: We’ll be breaking into a two piece. I think the answer is, yes, depending on how you find momentum. In remember, aviation took it on the chin pretty heavily in the first half of the year. If we agree that we don’t expect that to happen again, there’s significant upside for aviation next year, even if it was a low growth environment, depending upon what’s going on in the economy, just because we’re not expecting to take $50 million process, again, in the second quarter of next year or any quarter of next year. Marine is a question, Ben, right? Because it really depends on what happens with prices, right? Marine will likely continue to perform well ahead of where they performed in 2021. But in order to match their performance in 2022, you’re most likely going to need prices to remain relatively high. It won’t be as easy to hit those same numbers in a lower price environment. But, again, prices go down. We generate more cash paid on debt, and we get some relief, as we said earlier on the interest line. And, I think, land, we’re just still getting no Flyers, we’re nine months in. We’re learning a lot that where we could drive more efficiencies across the fuels part of the land business. So, I think, we’re actually really just gaining momentum there in a serious way. And we’re also just gaining momentum in our connect business on the sustainability side, whether it be renewable fuels, and the various products and service offerings that we keep growing in that part of the business. There’s a tremendous interest from our customers for assistance in that regard. So, I think, land certainly has the opportunity for an uptick in momentum; aviation, certainly; marine is the question mark, again, just because it all depend so heavily on price. So, overall, we’re looking to grow next year, interest may get in our way a little bit, but we’re working hard to get to mitigate that line item in the P&L.
Michael Kasbar: Just additional color, obviously, presence in aviation and marine, the ability to the different dynamics, as I described within both of those businesses, and then growth and market share, on land and Connect, we still have very small market share in those businesses. So those are areas that we definitely have a pretty good runway, and certainly as demonstrated within aviation our ability to fill out the offering and continue to add to the offering. I think is pretty impressive. And, I think, there’s opportunities to do that in marine as well. But certainly, there’s a pretty good runway within land and Connect, and we do want to continue to bring in more digital offerings to the marketplace. So, I think that, obviously, running the business and looking at price and interest and some of depending on who you talk to, things are going to look a little bit rough. But, I think, certainly the thing I said in last quarter previous with what we’ve gone through this company. And I want to say, we’re going to laugh at recession. But, we’ve certainly demonstrated that we are built for turbulence and we’ve got the resilience in this business and you’ve got a hell of a lot of grit, you’ve got an organization that’s got a burning desire to sort of succeed and provide value. So, I think, instead of entering a phase here, where you’ve got a better portfolio, you’ve got sort of increased quality of earnings, obviously, a number of different things in front of us, but a far better position company.
Benjamin Nolan: All right. Well, I appreciate the answers. And, again, sorry for the mute.
Michael Kasbar: Anything else, Ben, do you want to talk about?
Benjamin Nolan: [I mean, it was really talk…] [ph]
Ira Birns: We already talk about that. Thanks, Ben.
Michael Kasbar: Thanks very much, Ben. I appreciate it.
Benjamin Nolan: All right.
Operator: Thank you. Mr. Kasbar, there are no further questions at this time.
Michael Kasbar: Thank you, operator. I appreciate that. And thank you to everyone who is listening. We appreciate the support. We enjoy what we do. And thank you to all of my colleagues around the world, appreciate and enjoy working with you and look forward to talking to everybody next quarter. So stay well, stay safe and talk to you soon.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Everyone have a great day.